Operator: Welcome to the Quality Systems, Incorporated Fiscal 2017 Second Quarter Conference Call. Hosting the call today from Quality Systems' NextGen are Rusty Frantz, President and Chief Executive Officer; and Jamie Arnold, Chief Financial Officer. Today's call is being recorded. All lines have been placed on a listen-only mode and the floor will be opened for your questions following the presentation. Before we start, I'd like to remind everyone that the comments made on this call may include forward-looking statements within the meaning of the federal securities laws, including and without limitation, statements relating to anticipated industry trends, the company's plans, future performance, products, perspectives and strategies. Risk and uncertainties exist that may cause actual results to differ materially from those expressed in these forward-looking statements, including, among others, those risks set forth in the company's public filings with the U.S. Securities and Exchange Commission, including the discussion under the heading Risk Factors in the company's most recent Annual Report on Form 10-K and any subsequent Quarterly Reports on Form 10-Q. Any forward-looking statements speak only as of today. The company expressly disclaims any intent or obligation to update these forward-looking statements. Our company remarks on today's call include both our earnings results and guidance, which contains certain non-GAAP financial measures. For our earnings results, the GAAP financial measures most directly comparable to each non-GAAP financial measures used or discussed, and a reconciliation of the differences between each non-GAAP financial measure and the comparable GAAP financial measure can be found within our second quarter 2017 earnings press release, that was filed with the SEC and is posted to the Investors section of our website. This release also provides qualitative descriptions of how we have calculated non-GAAP financial measures contained in our guidance. At this time, I would like to turn the call over to Rusty Frantz, President and CEO of QSI NextGen. Rusty?
Rusty Frantz - Quality Systems, Inc.: Thank you, Crystal, and thank you everyone on the call for joining us this morning. I'm very pleased with our execution this quarter, and I'm looking forward to sharing some of the highlights with you before I turn the call over to Jamie, Chief Financial Officer, to discuss the fiscal second quarter 2017 finance results in greater detail. Our revenue for fiscal 2Q 2017 came in at just over $127 million compared to $125 million in the same quarter last year. Second quarter non-GAAP EPS of $0.23 compared favorably to $0.21 in the same period a year ago. This is a solid quarter for QSII, and our focus on investing in the future of the company while managing our costs appropriately is starting to bear fruit. The results that we have delivered in the first half of fiscal 2017 give me comfort and reaffirming the annual guidance we provided on our last call. That said, I want to note one subtle nuance. We're able to sign one or two quarters in the second fiscal quarter that we had originally anticipated signing in the third fiscal quarter, which accounted for about $1 million. So despite the slight beat on revenues relative to consensus, we are maintaining our annual guidance. On our last quarterly call, I discussed our sales force reorganization efforts, and I'd like to spend some time today updating you on the progress we've made during the quarter. We continue to invest in our sales team and, in September, held our second companywide sales force training session, our new mantra of why NextGen is definitely connecting with our reinvigorated sales team as we move into our User Group Meeting with our clients in a few weeks. I'm confident in our ability to rollout the path to macro with our large diverse client base, given the engagement of the sales team and the quality of the message and the plan. Just last week, we held our sales achievement club, and it was a great opportunity to personally interact with our highly energized sales team as well as high potential employees from across the organization. Our enterprise sales team commented that they are dialed in both on message and the actions as we move forward to the user group. Furthermore, it's been great to hear positive and encouraging responses from clients as we deliver our proactive approach to making sure they have the tools and are prepared to be successful in a macro-driven world. And in addition to servicing our existing client base and showing them the path forward, we're also beginning to see our early pipeline building. Switching gears, I'd like to update you on our strategic plan. With John Beck, our new Chief Solutions Officer, who came on board in August, we've put together a process to look at the market from the outside in. We're creating a heat map of customer issues and pressure points across our market over the next few years as well as where the growth will occur in the next five years, and we intend to use it to prioritize our product roadmap. This not only helps us to better understand the market as a whole, but it helps us to identify both organic and inorganic growth opportunities. Ultimately, we're working hard to continue to position NextGen as a trusted partner to our clients as they move forward through this transformational time in healthcare. I'm encouraged by the early signs that are refocus on customer relations and client experiences helping to stem the attrition we've seen over the last several quarters. It's important to note that the customer attrition figure of approximately 8%, which we measure in terms of maintenance dollars, is on a trailing 12-month basis and understates the positive trends we've seen in the first five months of this fiscal year. Additionally, we believe that our emphasis on the client experience is starting to yield results correlated with this positive impact on attrition. As we see clients begin to reap the benefits of a more effective client service, I'm optimistic about the future, and certainly the step forward on attrition is helping to reinforce that feeling. Before I turn the call over to Jamie, I wanted to share some news around our product upgrades. I'm pleased to see that the general release date for our next major version, our UD3 version, is targeted for October 28, at which time it will be available to rollout to some of our early general release clients. This is a major release for us and the first one we're truly focused on new processes such as our new beta process. This release adds functionality to improve usability, reduce clicks and common office workflows enabling our clients to focus on patient care and not on the computer and add features for clients that support their journey to value-based medicine. For instance, based on client feedback, we've made it much easier to track and manage orders for lab and radiology tests to ensure patients get the care they need to drive the wellness that they seek. In addition, improved interoperability with the ability to recognize important things like immunizations from state and local registries is another example of how we are providing a more longitudinal and complete view of the patient to enable better care. Finally, we've enhanced our application with some of our popular hover features to make patient information available with zero clicks and, once again, to enable our providers to focus on patient care and not their EHR. This release benefits from the increased testing rigor that we introduced as well as our aforementioned new beta program. Through the beta program, we have partnered with 19 clients to validate the release and their test and production environments as well as to gather feedback from them related to the release over a three-month to four-month period. I'm very excited about this release and the foundational quality bar that it sets, as well as excited to hear continuing good news from our Solutions R&D team as we continue to move forward in delivering value for our clients. With that, I'll turn the call over to Jamie for a look at the fiscal second quarter 2017 financial results. Jamie?
James R. Arnold - Quality Systems, Inc.: Thank you, Rusty, and thank you to everyone for joining us this morning. Before I walk through a discussion of the financial results in the quarter, I want to remind folks that our revenue reflects the disposition of our hospital business unit prospectively from the October 2015 sale date. Previously reported quarters have not been retrospectively adjusted. Total revenue for the quarter of $127.2 million, 81% of which is recurring, was up 2% when compared to $125.4 million in the second quarter of fiscal 2016. On a pro forma basis, meaning excluding our divested hospital business but including pre-acquisition HealthFusion for the second quarter of last year, our total revenue of $127.2 million this quarter would be down 3% from $130.7 million last year. Revenue from software license and hardware sale was $17.2 million, which represents a 12% decline from last year. This softness resulted from lower direct add-ons license sales to existing clients, which is in line with attrition, and lower sales from the reseller channel. Revenue from subscription services increased 73% year-over-year to $21.5 million, primarily due to sales of the MediTouch cloud-based system acquired from HealthFusion in January 2016. Support and maintenance revenue was $39 million, a decrease of $7.6 million (sic) [7.6%] from $42.2 million last year. The decrease can primarily be attributed to the disposition of the hospital unit and modest net attrition. Revenue cycle management was $20.9 million, which was essentially flat on a year-over-year basis and in line with our previously stated expectations. Electronic data interchange and data services revenue was $21.6 million, an increase of about 5% from $20.6 million last year, and remains on track to meet our annual goals. Finally, professional services revenue was $7 million, a 28% decline from $9.7 million last year. As with last quarter, the decline resulted from performing customer appeasement work and lower new license sales in prior quarters. Turning to bookings, we saw approximately $36 million in the quarter compared to approximately $29 million in the first quarter of fiscal 2017 and $37 million a year ago. Second quarter fiscal 2017 gross profit of $71.2 million was up slightly compared to $68.8 million in the second quarter of 2016. Gross margin for the current quarter of 56% compared favorably to $54.9 million (sic) [54.9%] last year. Turning to operating expenses, SG&A was up by 14.5% to $42.8 million versus $37.4 million last year. The increase is largely attributable to the acquisition of HealthFusion, of which $3 million pertains to fair value adjustments of HealthFusion's contingent consideration. R&D was up slightly at $18.3 million compared to $18 million last year. This is due to lower gross R&D expenses offset by lower capitalized R&D expenses. Our capitalized software development costs were $2.4 million or 11.5% of gross R&D expenditures this quarter compared to $3.1 million or 14.5% last year. Our GAAP tax rate for fiscal 2017 to date is 32.6%, which reflects the impact of non-deductible HealthFusion fair value adjustments. Our non-GAAP tax rate remains 30.5% for the quarter and the year. Finally, our GAAP EPS for the quarter of $0.06 compares to $0.14 for the year ago period and non-GAAP EPS of $0.23 compares favorably to $0.21 in the second quarter last year. Our non-GAAP EPS improvement was driven by higher revenue and improved gross margin. In terms of our balance sheet, we continue to strengthen our liquidity position. We ended the quarter with $26.2 million in cash and cash equivalents. We also aggressively paid down our revolver and closed out the second quarter of 2017 with just $48 million outstanding compared to $88 million at the end of the first quarter of fiscal 2017. Approximately half of the pay-down was funded by a tax refund in the quarter. Our DSOs were down to 56 days sales outstanding in the quarter, a decrease of five days from last quarter and 16 days compared to last year. We continue to make progress on our working capital management and efforts to expedite resolution of aged accounts receivable. We expect the DSO to settle in the current range of 55 days to 60 days. To close out my remarks this morning, I want to reaffirm our outlook for the remainder of 2017. After a solid quarter, our fiscal 2000 (sic) [2017] guidance remains unchanged since our last call. And for the full year 2017, we expect revenue to be in the range of $494 million to $510 million, non-GAAP EPS to be in the range of $0.75 to $0.81. This concludes my review of the second quarter's financial results. And now, I'll turn the call back over to Rusty for a few closing remarks. Rusty?
Rusty Frantz - Quality Systems, Inc.: Thank you, Jamie. We're pleased with our accomplishments this quarter and believe our results show steady execution of our plan. I'd like to thank all of our hardworking team members here at NextGen QSI. I want to personally thank all of our clients. Please know that your voice is heard and that we show up every day with the mission of delivering on our promise to you, our clients. With that, I'm going to close prepared remarks and we'll open up the call for questions. Operator?
Operator: Your first question comes from the line of Sean Wieland with Piper Jaffray.
Sean W. Wieland - Piper Jaffray & Co.: Good morning. So, we've all read the message boards about a potential process that's in place. I thought I'd give it a shot if there's anything you can comment about.
Rusty Frantz - Quality Systems, Inc.: Hi, Sean. Good morning. We don't comment on market rumors. What I will say is, as you see, we're an organization focused on executing our plan. I think we're making great progress on our plan. We're heads down focused on client value and expect to continue to execute this plan well into the future.
Sean W. Wieland - Piper Jaffray & Co.: All right. That's fine. So, just you commented that your salespeople were, you said, dialed in on message and action. So what exactly is that message and action that they're going to the market with right now? And are they going to – are you inwardly focused on your existing customers or you're out trying to pick up new customers? And what's the catalyst there?
Rusty Frantz - Quality Systems, Inc.: Yeah. So, look, I'd say that what we've done is, we've really migrated from what I'd say is more of a inward product focus message to really a client focused message about how we are going to lead them through the transformations ahead. And so, rather than simply talking about features of the product, we're really starting to focus instead on talking about how we're going to take our clients forward. We've spent a good bit of time with our sales team really training them not just on how to repeat a message, but really how to understand the dynamics that are coming into this ambulatory client base as we move from fee-for-service to fee-for-value and giving them the opportunity to educate our clients. I would say that probably the primary focus right now is really within the client base. Naturally we are always finding new clients to be able to bring into the table, but the primary focus of the message is, we've got a great client base that is under a good bit of pressure as this change comes and they are looking for us to be that trusted partner that can help educate them and then help them evolve in the right ways to be successful.
Sean W. Wieland - Piper Jaffray & Co.: Okay. Thanks for your comments.
Rusty Frantz - Quality Systems, Inc.: Thank you.
Operator: Your next question comes from the line of Sean Dodge with Jefferies.
Sean Dodge - Jefferies LLC: Rusty, the improving client satisfaction scores you mentioned, going a bit further into that, are you able to pinpoint what specifically has changed there that's making clients happier? Is it improvements in the software usability or is it better response rates on the support side or is it something else entirely?
Rusty Frantz - Quality Systems, Inc.: Yeah, actually we are. I mean, as I look at our overall service satisfaction, it improved by about 34% over the last eight quarters, which frankly is a great improvement and we're not done. We've made some very specific changes that are really driving this. I'd say, the first change is really refreshing the culture of the organization to truly understand that client value is our core mission. But we've also made some specific changes. We've created a dedicated account management structure to make sure that our clients have a simple interface into this organization. I think, in past calls, we talked about moving from a tiered support model to a swarming model where rather than having the client re-explain themselves again and again and again to new people, all of that handoff happens behind the scenes, and we measure first call problem resolution rather than call closure, so aligning our internal metrics and our internal approach with the experience that we'd want to have. I think we're continuing to do a better job from a software execution standpoint. And certainly, as we really have gone through this very rigorous beta process, we've gone through the latest release, we feel much more comfortable that we are able to now release software literally with no critical defects in it. And so, all of these things together, I think, are really having a marked and measurable improvement on the client experience.
Sean Dodge - Jefferies LLC: And then, so maybe on that last piece, you mentioned the retention rates improving over the last five months compared to where they've been over the last 12 months, can you maybe quantify the inflection force that you've seen in the last five months?
Rusty Frantz - Quality Systems, Inc.: Certainly, we've put a metric out there that we'll continue to provide and aren't going to drill deeper into that. But what I would say is – but this wasn't just kind of a one-time, let's go out and draw ourselves out of our client base, this is a structural process and culture change that continues to roll through. Naturally, we'll see – as we go forward, occasionally, we'll fall and skin our knees a little bit, but the overall progress frankly is steady, consistent, and really driven by fundamental changes, not just by personal heroics.
Sean Dodge - Jefferies LLC: Very good. Thank you.
Rusty Frantz - Quality Systems, Inc.: Thank you.
Operator: Your next question comes from the line of David Larsen with Leerink.
David M. Larsen - Leerink Partners LLC: Good quarter. What was the bookings and revenue contribution from HealthFusion this quarter?
James R. Arnold - Quality Systems, Inc.: Bookings were just a hair under $5 million, at $4.9 million, and the revenue contribution was, I believe, $10 million.
David M. Larsen - Leerink Partners LLC: Okay, great. Thanks. And then, Rusty, I think you had talked a bit about taking the best of the NextGen platform and then the best of MediTouch and then bringing them together, could you give us your most recent thoughts on that process? How is that progressing? Thanks.
Rusty Frantz - Quality Systems, Inc.: Yeah. So – thanks, David. We walked through that strategy at the Analyst Day back in June. We continue to execute on the strategy as I said at that point in time. It's a multi-year transition. And at this point, really I think we're going to stick with the messaging that we put out at the Analyst Day. And as we go, move forward together over the next few years, when we believe there is something that is both meaningful for the investors but also that does not create competitive risk within the organization, we'll certainly disclose that.
David M. Larsen - Leerink Partners LLC: Okay. So I think that you have been talking about using the MediTouch EMR solution and the NextGen practice management solution. Is that still generally the direction you're moving in?
Rusty Frantz - Quality Systems, Inc.: Absolutely. No, look, guys, I set out a strategy because I plan to absolutely execute that strategy. And so I would expect that strategy to continue to unfold as we move forward. And should anything change there, then I will certainly update the market. But unless I talk about it, you can assume that strategy is moving forward.
David M. Larsen - Leerink Partners LLC: Okay. And just one last quick one from me. Can you talk about the depth of the functionality of the MediTouch platform? I think NextGen serves a bunch of very specialized practices. Is MediTouch there? Can they meet those demands? Or will there continue to be R&D into that solution? Thanks.
Rusty Frantz - Quality Systems, Inc.: Yeah. Look, as I said at Analyst Day, first of all, our enterprise class flagship NextGen ambulatory platform continues to grow, thrive, evolve, and continues to be a primary destination of investment for us. The MediTouch platform as it sits today is a great platform for small practices. As we move forward over the years, we will be building in additional capabilities both in NextGen ambulatory EHR but also in the MediTouch platform. And so, look, stay tuned as I said, as this strategy continues to be executed on, we'll keep everybody updated. But as we sit here today, our primary focus at this point in time is on the NextGen ambulatory flagship product and on the needs of our very large and diverse client base as they grapple with the transformations ahead.
David M. Larsen - Leerink Partners LLC: Thanks very much.
Operator: Your next question comes from the line of Mohan Naidu with OppenheimerFunds.
Mohan Naidu - Oppenheimer & Co., Inc. (Broker): Morning. Thanks for taking my questions. Rusty, can you give us a sense of what is really going on in the physician market? Is that a real upside for physicians to switch over systems or is there an urgency in doing that and how aware are they about the upcoming macro requirements?
Rusty Frantz - Quality Systems, Inc.: I'm going to start with the last one first. I would say that awareness is starting to increase, but honestly I think a lot of folks are still either unaware or perhaps just unaware of the consequences and ramifications. In fact, as we've really armed our sales team with the information and knowledge to educate the clients, it's actually changing the relationship when we go in with this message, because now we're not in there trying to sell them something. We are educating them about the road ahead. We are helping them understand through our value-based readiness services where they sit on that readiness curve. And then on top of that, as we go into UGM, we're going to be walking through with them how we are going to effectively hold their hands and bring them along on this transition as we move forward over the next year. I would say that the primary challenge for the providers is to make sure that their partner is engaged with them and holding their hand as they move through this transformation. We have a great client-facing capability that we have really focused on developing and educating to make sure that our clients feel comfortable in both their readiness and in our interaction with them as a partner. And so, from that standpoint, I feel like that is really – that's the no regret step in making sure that our client base is absolutely comfortable and increasingly so with the value that we're providing not just within macro but also within our daily client service, within our field-facing resources educating them and also with software that continues to become a better and better foundation for their future.
Mohan Naidu - Oppenheimer & Co., Inc. (Broker): And just to follow-up on that one, your existing customer base, do they need to take on anymore solutions from you guys whether it's reporting or analytics or anything to actually meet any of the macro rules?
Rusty Frantz - Quality Systems, Inc.: Well, I think, as we will roll out with our client base, as they move into next year, we will be bringing forward the capabilities in next year for them to be able to make sure that they're rolling into it. So there are capabilities that are coming out in the next release of software that will ensure that they have a long runway in front of them during this transition to macro.
Mohan Naidu - Oppenheimer & Co., Inc. (Broker): Okay, great. One quick one for Jamie. The bookings number, the $36 million, does that include the HealthFusion's $5 million number?
James R. Arnold - Quality Systems, Inc.: Yes, it does.
Mohan Naidu - Oppenheimer & Co., Inc. (Broker): Okay. Thank you very much.
Rusty Frantz - Quality Systems, Inc.: Thank you.
Operator: Your next question comes from the line of Jeff Garro with William Blair & Company.
Jeff R. Garro - William Blair & Co. LLC: Yeah. Good morning, guys, and thanks for taking the question. Wanted to ask about some of the revenue results in a little further detail. It looks like part of the outperformance in the quarter was from software license and hardware, that's been challenged previously. I know it's not your go forward focus, and you called out a little bit of pull forward there. I'm curious what else drove that pocket of strength and what are the expectations for volatility in that line going forward?
Rusty Frantz - Quality Systems, Inc.: The strength was in the software-related subscription services. The software license and hardware was down year-over-year.
Jeff R. Garro - William Blair & Co. LLC: Yeah, but maybe looking on a sequential basis, up from, I think, was up multi quarter low last quarter?
Rusty Frantz - Quality Systems, Inc.: I think, let me just actually start by just providing a little color, right. As we said in last quarter's call, in May, we reorganized this organization as a single functional organization. We changed. We put in a new sales process which educated the team on. We changed some roles and responsibilities. We simplified and aligned the comp plan with what the organization needs to do for success. So the sales team went through a very good bit – a significant amount of change, and frankly the organization as a whole went through a significant amount of change in Q1. And so, I wouldn't get too tied up in the sequential down quarter, because there were extraordinary things that happened in that quarter that don't happen as a normal course. And so, I'll just frame it with that, and then I'll pass it over to Jamie for a little bit deeper view.
James R. Arnold - Quality Systems, Inc.: Yeah. I mean, again, going back to the timing, Q1 is usually our weakest quarter. And so, coming off of the year-end, and I think that's what part of what you saw last quarter, we did have a good quarter and where I touched on areas where we had year-over-year decline in areas like the add-on license sales, what I didn't say in my comments, because I wasn't comparing it to the prior quarter. If I compare it to the Q1, our new sales were up quarter-over-quarter. So there is some positive in there, but I think Rusty touched on, and you're all well aware of this and when you're dealing with perpetual license sales, the revenue gets kind of lumpy. And we did close a couple of transactions a little faster than we might've originally thought we would. But over and all, we still maintain our guidance for the year.
Jeff R. Garro - William Blair & Co. LLC: Great, great. Maybe one follow-up with a different way of looking at trying to think about the percentage of revenue that's recurring in nature. We did see a slight downtick there quarter-over-quarter at the end of the numbers. I think if we pull out the divestiture of the hospital business, we would see recurring revenue really up nicely year-over-year, but just trying to get some idea of the expectations for the recurring revenue piece of business and whether that will increase as a percentage of revenue going forward and continue to grow on a year-over-year basis.
James R. Arnold - Quality Systems, Inc.: My expectation is that, yes, it will grow, but it's good to be growing modestly as we move forward into the coming periods.
Jeff R. Garro - William Blair & Co. LLC: Great. Thanks for taking the questions.
James R. Arnold - Quality Systems, Inc.: Thank you.
Rusty Frantz - Quality Systems, Inc.: Yeah.
Operator: Your next question comes from the line of Nicholas Jansen with Raymond James.
Nicholas M. Jansen - Raymond James & Associates, Inc.: Hi, guys. I want to talk a little bit more about the strong cash flow in the quarter. You've obviously delevered, I think, more rapid than what most have expected post the HealthFusion acquisition. So just wanted to kind of get your thoughts on if there are any pockets or thinking about M&A going forward, given the renewed cash position or leverage position? Thanks.
Rusty Frantz - Quality Systems, Inc.: I'll let Jamie start out and talk about the numbers. And then I'll address the later question.
Nicholas M. Jansen - Raymond James & Associates, Inc.: Sure.
James R. Arnold - Quality Systems, Inc.: Yes, we have been doing a good job on our working capital management and the overall liquidity. I highlighted one area this quarter. We had a $20 million tax refund that we used to pay down the credit line, but we are making progress against our receivables. And as I said, it's, I think, now in the range that we would expect to be, and will stay in this range of 55 days to 60 days, but we're doing a good job there. And with that, I'll let Rusty answer the question about M&A.
Rusty Frantz - Quality Systems, Inc.: Yeah. So, look, as I said back in November, we changed our shareholder return strategy specifically to begin accumulating dry powder on the balance sheet. I think, our continued progress both on cash as well as on DSOs shows a continuing commitment to creating that strategic optionality as we move forward. I think as I said in my prepared remarks, we've worked hard with some external help to really better understand our thesis for the next multiple sets of years within our ambulatory space. Certainly some of that informs our organic roadmap, but as well, I think we've been clear that as we move forward, we will look for both organic and inorganic options. Now, naturally we won't comment on anything specific there, until we announce that we signed something. But at this point in time, I feel comfortable on a couple of dimensions. Number one, we continue to accumulate cash. Number two, we've really done a lot of the integration work in this company to make sure that we are one nimble, agile platform, both from a business system and a process framework standpoint. So we continue to mature this organization with an eye towards potentially being able to both identify inorganic targets, but also being able to truly deliver. Because everybody knows, the acquisition is the starting line, not the finish line, and performance after the acquisition is our bond to our shareholders. So, I guess, that's a lot of talking without a really strong answer there, but that's simply because we don't comment on M&A. Thank you.
Nicholas M. Jansen - Raymond James & Associates, Inc.: That's helpful. And then, my second question would be just on – it's been almost about a year since the HealthFusion acquisition was announced. Just want to kind of get your thoughts, broadly speaking, of where it maybe outperformed, underperformed, just kind of where you are sitting relative to that year-ago announcement. Thanks.
Rusty Frantz - Quality Systems, Inc.: Certainly, when you acquire something, right, you have a thesis coming into the acquisition. And your hope is always that that thesis holds true post-acquisition. I'd say, when we look at where HealthFusion is, we expect them to get pretty darn close to the $43 million that their earn-out set out. And that's – honestly, that's a great growth percentage. And as we said at the transaction time, it's an accretive transaction. I think we said $0.11 to $0.13 accretive. So it's both a growing revenue stream and frankly a revenue stream that makes money in a time when many of their competitors are giving things away for free. So, I'd say that from a financial performance, we feel like HealthFusion is really – is both meeting expectations and frankly accelerating as we move forward as we talked about the bookings number earlier in the call. From an underlying platform standpoint, certainly one of the things that we looked at when we acquired it was, is this a platform that we can build upon over time? And I think as well as David Metcalfe, our CTO, has really gotten deep under the covers, I think that thesis is well formed as well. So, I'd say that certainly for me as the CEO and this being really the first large acquisition this company has ever made, I think we feel pretty darn good about it.
Nicholas M. Jansen - Raymond James & Associates, Inc.: Thanks, guys. Nice progress.
Rusty Frantz - Quality Systems, Inc.: Thank you.
Operator: Your next question comes from the line of Jamie Stockton with Wells Fargo.
Jamie J. Stockton - Wells Fargo Securities LLC: Hey, good morning. Thanks for taking my questions. May be first just circling back to the overall environment. Athena obviously talked about how they felt like the lack of a big hairy government mandate was causing somewhat of an air pocket and decision-making, and I know Mohan kind of asked about that earlier. I would ask a little follow-up on that topic, which is, do you guys feel like you need to evolve the offering that you're going to customers with? Rusty, I think, you've mentioned a number of times that the value needs to be there. Do you need to more heavily integrate your software with your revenue cycle management offering? Are there things that you need to do on that front that you feel like would help you in the marketplace?
Rusty Frantz - Quality Systems, Inc.: Yeah. I think, when I talk in these calls, what I'm giving you is, what is in market and what we are executing on today. I don't talk much about how that offering is continuing to evolve within the organization. And the short answer to your question is, yes, we are evolving our solution. We are – as we move from selling disparate products to delivering a solution that helps our client transform, the structural work we've done, the educational work we've done, some of the new services and wraparounds that we've launched are all part of making sure that we're not selling our client a bag of products, that we are actually delivering our client the results they need to transform and thrive and grow in this changing environment. So we will continue to evolve the nature of our offering as we move from products to client-focused solutions, and I'll continue to update you as those things enter the marketplace. But just understand that we are working everyday to make sure that we are a trusted partner for our clients. And as those changes come forward, I'll announce them, but I cannot provide too much forward-looking view.
Jamie J. Stockton - Wells Fargo Securities LLC: Well, just broadly, as we think about the levers to improve value, should we think about making the system as easy to use as possible to try to improve productivity? And then, revenue cycle attach rate helping you potentially streamline cost structure for clients and improved collections, are those the two biggest levers we should think about?
Rusty Frantz - Quality Systems, Inc.: Yeah. I mean, I think, I'd go back to really the pillars of our strategy, right. And client experience is the foundation that maximizes the opportunity for the second piece, which is true solution delivery. I guess, you could view that as cross-selling. And certainly RCM attachment rate is something that, as we move forward over the next couple years, it's something that we will pay a great deal of attention to.
Jamie J. Stockton - Wells Fargo Securities LLC: Okay. And then, just a quick one, Jamie, do you have – and if I missed it, I apologize, do you have the operating cash flow and the CapEx number for the quarter?
James R. Arnold - Quality Systems, Inc.: One second. Let me see if I can put my hands on it. The cash flow from operations was $56.6 million and the CapEx – sorry, the number I gave you was six-month. I don't have the three-month number at my fingertips. I apologize.
Jamie J. Stockton - Wells Fargo Securities LLC: Six-month is fine.
James R. Arnold - Quality Systems, Inc.: $56.6 million is cash flow from operations and total CapEx for the six-month period is $5.2 million.
Jamie J. Stockton - Wells Fargo Securities LLC: Okay. Thank you.
Rusty Frantz - Quality Systems, Inc.: Thank you.
Operator: The next question comes from line of Stephanie Davis with JPMorgan.
Stephanie J. Davis - JPMorgan Securities LLC: Taking my questions. Could you talk a bit about the path to growth in your core legacy business? Specifically looking at the booking metrics with organic bookings down double-digit in the first half of the year, what can this metric to return to close and how long could this take?
Rusty Frantz - Quality Systems, Inc.: So, first of all, I'm not going to comment on forward-looking timing of things. What I will say is, I reiterate most of the things I said on the call. We are absolutely focused on delivering a great client experience. Foundational to clients wanting to invest more with their vendor is having a great experience with the products they have today. As I've talked about numerous times over the last calls, we are definitely on a significant improvement path there and starting to see the benefits of that. In addition, the path to growth is also by enabling the organization to effectively communicate the pathway for the client's growth to the client. And that's really educating them on the regulatory changes on the transformational changes from service to value, and all of those things will absolutely provide continued growth as we move forward over the next years together. I think, also we have done a lot of work making sure that our sales teams process, message and compensation is aligned with the needs of the business and the client base. And so I think we've put in a lot of the foundational pieces to get there, and as we will see as we move forward over the next couple of years together how that comes forward in a timing standpoint. As we said within this year, we have reaffirmed our guidance range. And I think, from there, you can back out from where we are what we expect to see for the rest of the year.
Stephanie J. Davis - JPMorgan Securities LLC: All right. Thanks for taking my questions.
Rusty Frantz - Quality Systems, Inc.: Thank you.
Operator: Your next question comes from the line of Matthew Gillmor with Robert Baird.
Matthew D. Gillmor - Robert W. Baird & Co., Inc. (Broker): Taking the question. I wanted to go back to the contracts, you mentioned that closed I think a little bit faster than you had expected. Can you maybe just give us a sense for why that occurred? Is that just the normal lumpiness? And then, I'm sorry if I missed this, but can you give us a sense for what that contributed in terms of revenue and EBITDA?
Rusty Frantz - Quality Systems, Inc.: Yeah, I'll just -look, we're in sales, which means that sometimes things happen faster, I like that better. Sometimes things happen slower, I don't like that as much. And so – but when it comes down to it, yeah, there is a little bit of lumpiness here. The total number was $1 million, and we don't comment on EBITDA contribution from specific deals.
Matthew D. Gillmor - Robert W. Baird & Co., Inc. (Broker): Okay, got it. And then, the UDI or UD3 thing available, I guess, later this week, how should we think about that impacting the P&L, I guess, over the coming quarters? Will that mostly show up in the professional services or will it impact other areas of revenue?
Rusty Frantz - Quality Systems, Inc.: I think, the way you should really see it showing up is, you should see it showing up in the continued confidence in our client base that we're becoming an increasingly strong executing organization from a software delivery and R&D standpoint. Certainly we're very focused on getting our clients forward into the new capabilities, but I would not expect to see a strong revenue contribution from this, really on any of the lines.
Matthew D. Gillmor - Robert W. Baird & Co., Inc. (Broker): Okay, thank you.
Rusty Frantz - Quality Systems, Inc.: Yep.
Operator: Your next question comes from the line of Michael Cherny with UBS.
Michael Cherny - UBS Securities LLC: Good morning, guys. So, I apologize if I missed this before. I just wanted to dive in, Jamie, you said that bookings last year, I think, were $37 million. I have in the transcript last year that it was $60 million, so maybe just against the backdrop of that, could you just tell us kind of what goes into bookings these days? I know some of the definitions have been shifting a bit as you rethink the business, just to give a better understanding and level set, and if you can give historical bookings for last few quarters just so we can get our models right that would be great.
Rusty Frantz - Quality Systems, Inc.: Before Jamie jumps in, let me just address something. Within the subsequent quarters between that, we recast the bookings number. I guess, I'll draw you back. I think it was maybe Q3 of last year. When I came in, one of the things we looked at with the bookings number was, you might have, for example, a seven-year RCM contract and a single license expansion deal. And I really didn't feel like that provided an actionable view in the intent of starting to show you progress as we move forward. So we've redefined bookings as annual contract value. And I think in that Q3 number, we also tied back the new version of bookings to that quarter, and so that $60 million is not apples to apples.
Michael Cherny - UBS Securities LLC: Got it. I will then go back and check the transcript and will blame myself for...
Rusty Frantz - Quality Systems, Inc.: No, no, it wasn't in that transcript. It was in the transcript in between those. But, look, I mean, it's really – this is really about us looking at how do we continue to provide an actionable view to our investors to make sure that you are getting – something that really aligns with what our view is internally.
Michael Cherny - UBS Securities LLC: Got it. And then, just quickly on the R&D line, last year – over the course of year, you've had 60% (43:13) of revenue, strong in the first half of the year, dropped down in the second half of the year. It seems like you've started strong in the first half of the year. Should we expect as a percent of revenue that to shift particularly against the backdrop of the investments you're making around – the new release around the cloud-based transition? Any just kind of directional clarity there would be helpful.
Rusty Frantz - Quality Systems, Inc.: Yeah. So, look, last year, it dropped in the back half of the year, frankly because until I was sure that we had a good plan and we were effectively leveraging shareholder dollars, I was going to make sure that we weren't just spending money to spend money. As we move into this year with a new CTO on board, with great new processes with us really starting to see progress, we're expecting to continue to maintain that investment, because now we feel like we've got a plan and a capability to leverage that investment effectively into things that are positively affecting our clients.
James R. Arnold - Quality Systems, Inc.: I think, also just to point out that last year, for instance, in Q3, the software capitalization was much higher. We have capitalized $4.9 million in Q3 of last year. So that has an impact and that's going to be directly tied to how close you are to general release after you reach technological feasibility on a project.
Michael Cherny - UBS Securities LLC: Great. Thanks.
Rusty Frantz - Quality Systems, Inc.: Thank you.
Operator: Your next question comes from line of Donald Hooker with KeyBanc.
Donald H. Hooker - KeyBanc Capital Markets, Inc.: Great. Thank you very much. So, the one number that jumped out to me that I thought was interesting, the subscription services revenue, the sequential increase was very strong. I assume that's mainly HealthFusion because I think you have some other population health analytical tools in there. Can you – which part of that? Is that mainly HealthFusion?
James R. Arnold - Quality Systems, Inc.: HealthFusion was the biggest contributor there obviously, because it wasn't in last year's number. But without HealthFusion -
Donald H. Hooker - KeyBanc Capital Markets, Inc.: Sequentially.
James R. Arnold - Quality Systems, Inc.: Sequentially, you have to give me a second. I prepared all my comments -
Donald H. Hooker - KeyBanc Capital Markets, Inc.: I guess, what I'm trying to ask is the – there's some of the – the Mirth tools and kind of – I'm trying to get a sense of how that's performing. I assume that's in that line as well.
James R. Arnold - Quality Systems, Inc.: It is in that line. Just one second, please. Let me just get a – yeah, it's mostly HealthFusion. We did have some growth in the – I don't have the exact percentage, but we did have growth in our core sort of the non-HealthFusion portion of the subscription business, but HealthFusion obviously grew nicely.
Donald H. Hooker - KeyBanc Capital Markets, Inc.: Yeah, it did. And then, last question for me. When you look at your client base as we go, as MACRA starts to roll out next year, I guess a lot of your physicians are going to have to choose between MIPS and advanced alternative payment model. And I assume that's going to affect your product development strategy, I would assume, a little bit in terms of how they choose to position themselves. Do you have any sense of how that might breakdown? I mean, are your clients talking to you about kind of Accountable Care Organizations? Or are they talking to you about MIPS or which – how do you think that breaks out? How would you guess that breaks out over the next year or two from your current vantage point?
Rusty Frantz - Quality Systems, Inc.: It's early days, given that the rule just dropped. I mean, certainly some of our clients are moving towards an APM, but I think a good percentage is probably going to live in the MIPS side of the world. From a product development standpoint, look, we've got an incredibly broad and diverse client base across all geographies and all segments in the ambulatory space. And therefore, our product development strategy by nature needs to enable our clients whichever side of that choice that they come up on, and we're committed to doing that.
Donald H. Hooker - KeyBanc Capital Markets, Inc.: Thank you.
James R. Arnold - Quality Systems, Inc.: Let me just, if I can add a little color. While Rusty was replying, I got a little information that the growth was divided relatively equally. Our non-HealthFusion subscription business grew about 10% quarter-over-quarter.
Donald H. Hooker - KeyBanc Capital Markets, Inc.: Okay. Thank you.
James R. Arnold - Quality Systems, Inc.: All right. Thank you.
Operator: Your next question comes from the line of Garen Sarafian with Citigroup.
Garen Sarafian - Citigroup Global Markets, Inc. (Broker): Good morning, Rusty and Jamie. You mentioned about strengthening pipeline, any way you can quantify the pipeline that's building in terms of maybe increased bid to date maybe or in dollar terms?
Rusty Frantz - Quality Systems, Inc.: No, we don't comment on pipeline. That's why I provide the bookings number. But what I will say is, look, we've changed sales process. We've changed sales comp plan to simplify it and make sure it's aligned. We are aggressively managing the sales team. We just came off of our quarterly business review. And what we're seeing is, as we've started to both put together solution messaging and solution delivery capabilities rather than just simply product capabilities on one side, RCM on another side, et cetera. As we started to really both message, manage and enable delivery of solution, we're starting to see the early stages of the pipeline build. This is not something that happens overnight. And the first numerical sign, frankly, that you all see of this work is as it starts to flow through to bookings, but sales cycles are not instantaneous in this business. And so, right now, we're just managing those early stages of the pipeline.
Garen Sarafian - Citigroup Global Markets, Inc. (Broker): Got it. And then, following on those comments, you mentioned previously, it wasn't much – last quarter, it wasn't as much of the lack of progress, but more of where you started from as you realized that the quality of the pipeline wasn't up to expectations. So I know you reiterated guidance, of course, but have you found other data points that sort of altered the process versus what you expected even if it netted out to neutral or has it been fairly smooth where you may be able to maybe catch up versus the last call where the starting point wasn't as expected?
Rusty Frantz - Quality Systems, Inc.: What I would say is certainly, as I said in the last call, that the pipeline, as we've really taken a whole new level of rigor to looking at sales progress and sales process that, frankly, we had a little bit of a gap in the pipeline. That being said, I think, we're executing very well, which is why we continue to reaffirm our guidance. We haven't provided kind of any qualitative guidance within that range, and don't expect to at this juncture.
Garen Sarafian - Citigroup Global Markets, Inc. (Broker): Got it. Thanks for taking the questions.
Rusty Frantz - Quality Systems, Inc.: Thank you.
Operator: Your next question comes from the line of George Hill with Deutsche Bank.
George R. Hill - Deutsche Bank Securities, Inc.: Taking my question. And Rusty, congrats on the progress the company is making. I guess, most of my questions have been answered. The one, I guess, I would dive into is, has anything changed in the competitive environment that you've seen across the core product set where you guys feel either competitors have fallen out of the market or you've seen anybody strengthen or weaken kind of noticeably such that it's increased your opportunity for success?
Rusty Frantz - Quality Systems, Inc.: I don't want to say – it's a great question, George, and I appreciate the complement as well. I would say that the competitive environment hasn't changed much. It's a tough competitive market. What has changed is that we're doing a better job in making our clients more comfortable that we're the right partner for them into the future. And so that does change the competitive environment a bit simply because we've become harder to dislodge as our clients start to really see the progress. But I wouldn't say that competitors such as Athena, Cerner and Epic has slowed down one bit in their pressure. We just feel like we've got an increasingly great offering.
George R. Hill - Deutsche Bank Securities, Inc.: Okay. And then maybe just a follow-up, because if you were to look at like the CMS market share data for the ambulatory EMR space, you would still see huge fragmentation. If you think about the guys outside of the top eight, are you seeing increased opportunity to displace them? And is that segment of the market like really fallen by the wayside as people look at the next generation of the purchasing cycle?
Rusty Frantz - Quality Systems, Inc.: I'd say, I guess, we see that most notably and where we're really aggressively hunting, which is in the smaller part of the market where we are at – certainly HealthFusion continues to grow, and as I've said in my remarks, grow against premium offerings, right, and so between that and also some of the real legacy offerings that aren't able to keep up with this evolution from a regulatory cycle. My expectation is that opportunity comes out of that. But I'd say, it's still early days. I think I do believe that this significant transition of business model within the healthcare industry was driven by macro is going to put a lot of pressure on vendors that perhaps don't have the ability to get out there, educate clients and to continue to invest in their software. So, is there some opportunity? I guess, I believe there is, but right now, our primary focus is just on making sure that we're doing the right thing for existing clients of the larger end and really doing most of our hunting at the smaller end.
George R. Hill - Deutsche Bank Securities, Inc.: Okay. I appreciative the color. Thank you.
Rusty Frantz - Quality Systems, Inc.: Thank you.
Operator: At this time, there are no further questions in queue.
Rusty Frantz - Quality Systems, Inc.: All right. Well, then I'm going to close it out. Hey, look, everybody, I really appreciate the questions today and I definitely appreciate the continued interest in Quality Systems' NextGen. I wake up every day figuring out how we're going to make this company better, faster, gooder and stronger as we move forward. And so, it's a privilege to be at the home of this great organization and this great team. And I look forward to our future conversation. So, thanks, everybody.
Operator: This concludes today's conference call. Thank you for joining, and you may disconnect your lines at this time.